Operator: Thank you for standing by. This is the conference operator. Welcome to the MiX Telematics First Quarter 2023 Earnings Results Conference Call. [Operator Instructions] And the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I’d now like to turn the conference over to Paul Dell, Chief Financial Officer. Please go ahead.
Paul Dell: Thank you, and good morning, everyone. We appreciate you joining us to review MiX Telematics’ earnings results for the first quarter of fiscal year 2023, which ended on June 30, 2022. Today, we will be discussing the results announced in our press release issued a few hours ago. I’m Paul Dell, MiX’s Chief Financial Officer, and I’m joined by Stefan Joselowitz, or as many of you know him, Joss. He is President and Chief Executive Officer of MiX Telematics. During today’s call, we will make forward-looking statements related to our business, which are subject to material risks and uncertainties that could cause our actual results to differ materially. For discussion of the material risks and other important factors that could affect our results, please refer to those contained in our Form 10-K and other SEC filings, all of which are available on the Investor Relations section of our website. We will also be referring to certain non-GAAP financial measures. There is a reconciliation schedule detailing these results currently available in our press release, which is located on our website and filed with the SEC. With that, I will turn the call over to Joss.
Stefan Joselowitz: Thanks, Paul, and thanks to all of you for joining the call today. MiX began fiscal 2023 with solid financial and operational results as we navigate the business to an increasingly uncertain economic environment. We had another strong quarter of net subscriber growth, adding 23,200 subscribers to end with a base of over 838,000. This is an increase of 11% year-over-year and an all-time high for the company. It is also our third consecutive quarter adding more than 20,000 net subscribers, and we are now above pre-pandemic levels, an important driver in our continued revenue growth. All 3 of our solution categories contributed to the expansion with a notably strong performance in our light fleet business. I’d now like to quickly summarize our financial results for the quarter. Subscription revenue of $31 million was up 6% in constant currency. Annual recurring revenue ended at $123.2 million, up 1% sequentially and 7% year-over-year on a constant currency basis. As we have discussed in previous quarters, the ongoing supply chain challenges continue to impact vehicle deliveries to some of our customers. Our committed contract backlog is still at elevated levels and represents future growth as vehicles get delivered and implemented. In addition, the dollar strengthened notably during the quarter, which was a meaningful headwind to our reported results. Q1 adjusted EBITDA was $6 million at a 17% margin. Paul will discuss this in more detail later, but the cost increases in parts of our business puts some pressure on our profitability during the quarter. We are taking proactive steps to manage our cost structure to ensure we remain on track to deliver our full year adjusted EBITDA margin guidance. Overall, our business continues to perform reasonably well given current circumstances. The sizable expansion of our subscriber base in recent quarters, in addition to the continued strong growth in our sales pipeline across regions and product categories reflects meaningful customer interest in deploying advanced Telematics solutions. Our solutions can help customers manage some of the most pressing challenges in their operations. This includes worker productivity to mitigate tough labor markets as well as promoting greater fuel efficiency, enhancing vehicle utilization and promoting safer and more sustainable fleet operations. We have proven repeatedly that our solutions represent high ROI investments for our customers. I’d like to highlight a few key wins from the first quarter. We signed agreements with various customers in Latin America to expand existing contracts for almost 3,000 additional subscribers with implementation ongoing. In the U.K., the leading bus operator, go ahead group renewed their 4,000-plus subscriber contract with us and are actively expanding their investment by adding our MiX Vision AI solution in their metro fleets to further improve their safety standards. Go ahead has been a mixed customer since 2008. This is their fourth renewal with us and further testimony to our ability to deliver ongoing value and build long-term relationships with large enterprise fleets. In South Africa, Isuzu a Japanese commercial vehicle manufacturers serving customers in more than 150 countries worldwide, awarded us the connected truck contract. The agreement will see MiX’s fleet and asset tracking technologies installed on their production line on all vehicles in 3 commercial ranges produced in South Africa. Branded locally as Isuzu insights. The solution will be used by Isuzu to provide value-added services to their clients and also presents a significant upsell opportunity for MiX. A leading utilities operator in Australia selected MiX Telematics for its nearly 200 assets due to our comprehensive product portfolio. Several of our solutions have been adopted simultaneously, including our core premium fleet telemetry service, AI video, driver app, journey management and in-cab coaching. A global electric vehicle fleet and battery specialists has confirmed their partnership with MiX. Originating in Europe, this deal will soon be expanding into the Middle East, Australasia, as well as South America to provide an integrated solution for their electric vehicle bus and coach customers. Nearly 200 subscribers came on board in Q1 with further expansion scheduled imminently. We continue to believe that we are in a position to generate mid to high single-digit constant currency subscription revenue growth and high single to low double-digit ARR growth for the fiscal year in addition to adjusted EBITDA margins in the low to mid-20s. As always, we will focus on those things that we can control, particularly on exceptional customer service, cost discipline and targeted investments in our strategic growth initiatives. Despite the near-term uncertainty in the market, nothing has changed about our long-term expectations for our business. The Telematics market is in the early stages of broad-based adoption of cloud-based solutions across fleets of all sizes. We feel very good about our ability to deliver on our long-term financial targets of 15% to 20% constant currency subscription revenue growth and 30% plus adjusted EBITDA margins. This is an exciting time for the company, and I want to thank all of our employees for their hard work and commitment to our customers’ success. I’d now like to turn the call over to Paul to review our financial results in more detail. Paul?
Paul Dell: Thanks, Joss. I’m excited to be back in the role of Chief Financial Officer, and I’m confident we can continue on the path for sustained success going forward. I’d now like to turn to our financial results for Q1. Please keep in mind that all figures refer to the first fiscal quarter of fiscal 2023 and all comparisons are for the year-over-year changes, unless I say otherwise. Starting with the profit and loss. Total revenue came in at $35.1 million and subscription revenues were $31 million, representing constant currency increases of 7.3% and 6.3%, respectively. Please note that as discussed on the last call, the large South African customer, we anticipated moving to a channel relationship did not make that transition during the first quarter. It is now expected to occur in the second quarter. And as a result, Q1 subscription revenue was somewhat better than we expected. It is also worth noting that the majority of our revenues are derived from currencies other than the U.S. dollar. The South African rand weakened by 10% against the U.S. dollar compared to the first quarter of fiscal year 2022, contributing to a 6.7% decrease in our reported subscription revenues. We ended the quarter with over 838,000 subscribers, an increase of 11% year-over-year. Subscribers grew approximately 23,200 sequentially, bringing the base over the pre-pandemic level. The strong net adds in the first quarter were driven by net growth in our light fleet and premium fleet solution categories, primarily in our South African business. ARR at the end of the quarter was $123.2 million, up 0.9% sequentially and 7.2% year-over-year on a constant currency basis. ARR continues to be impacted by the longer implementation cycles for some of the larger wins during the previous fiscal year, which have contributed to the growth in our backlog of pending installations. We have large customers who have experienced delays receiving vehicles as part of their planned fleet expansion. Finally, we did have approximately $200,000 related to a customer in Russia come out of ARR in the quarter due to the impact of sanctions in this region. Hardware and other revenues of $4.1 million were up 7.6% year-over-year. Moving on to gross margin and operating expenses. Gross margin was 62% compared to 65.5% in the year ago period. Subscription margin remained strong at 67.5%. As a reminder, we do expect some volatility as we work through some of the supply chain challenges that impact costs. We are confident our overall gross margin can sustain 64% to 66% annually as hardware mix and supply chain stabilizes. Operating expenses were $19.3 million and were up 4.3% compared to prior year. The increase includes higher sales and marketing investments. Adjusted EBITDA was $6 million or 17.1% of revenue compared to $8.3 million or 23.8% of revenue last year. As a reminder, Q1 is typically our lowest adjusted EBITDA margin quarter given the timing of merit pay increases. We are taking steps across the board to address the cost dynamics caused by the current inflationary environment and are focused on driving margin into our target range for the 2023 fiscal year. Adjusted net income for the quarter was $1.9 million, down from $2.9 million in the year ago period. Turning to the balance sheet. We ended the quarter with $24.6 million of cash and cash equivalents compared to $33.7 million as of March 31, 2022. In the first quarter, we used $0.7 million in net cash from operating activities and invested $6.7 million in capital expenditures, leading to a negative free cash flow of $7.4 million. The use of cash includes investments in in-vehicle devices of $4.9 million as well as year-end bonus payments in the region of $2 million. The elevated amount of negative free cash flow reflects in part our proactive efforts to prepurchase inventory to manage our supply chain. The market for certain components of our hardware are under significant stress and seeing cost inflation. We believe building in additional buffer into our suppliers is prudent against this backdrop. We expect to again have elevated levels of capital expenditures next quarter before seeing improvement in our cash flows in the second half of the year. We currently expect that we will generate significant free cash flow for the full 2024 fiscal year as capital expenditures normalize. Before I wrap up, I would like to reiterate our expectations for the remainder of fiscal 2023. As Joss mentioned, we are targeting another year of solid growth with mid to high single-digit constant currency subscription revenue growth and high single to low double digit ARR growth. The rapidly evolving challenges facing the global economy presents some potential challenges that we monitor closely, but we continue to see encouraging demand activity across our major end markets and solutions. From a linearity perspective, we would expect the second quarter ARR growth to be muted given the transition to a channel relationship for this large African customer before picking up in the second half. As mentioned previously, we are still targeting low to mid-20s adjusted EBITDA margins for the full year. We have consistently managed the cost structure in a disciplined way for many years at MiX, and we will take the steps necessary to manage through the current environment. Importantly, we will not be sacrificing investments in our strategic growth priorities, which are crucial to delivering on our long-term objectives. To wrap up, we delivered solid first quarter results and encouraging trends in subscriber additions. We are confident in our ability to manage this business through a variety of business cycles and believe our attractive combination of growth and profitability can generate substantial value for shareholders. Operator, let’s begin the Q&A, please.
Operator: [Operator Instructions] The first question comes from Matt Pfau with William Blair.
Matt Pfau: I wanted to start off first in the light fleet segment and the strength that you’re seeing there that you called out. Maybe if you could just provide any more detail in terms of what’s driving that?
Paul Dell: We certainly saw strong performance in that sector, particularly in our African business, our South African business, we have been working on various channel relationships that are starting to get traction.
Matt Pfau: And then in terms of the OEM relationship with Isuzu maybe you could just -- you’ve been signing, and I think you have a few of these now, and they’ve been coming every few quarters. How are you going about pursuing these relationships? Is there a team specifically out there? Do you have a pipeline of sort of prospects or deals that you’re working on? Maybe just some more detail on how you envision that the OEM business overall evolving over time?
Paul Dell: Yes, absolutely. And yes, we do have a full-time team subject matter experts in that field that are driving our OEM relationships. It is -- the key word is relationship. So it is a fairly lengthy sales process, so to speak, building the relationship, finding the right people to engage with and then developing a level of comfort to be able to conclude a transaction with a significant third party, as you can appreciate. So we’re very pleased with the progress we’re making in that regard. And we expect to make ongoing announcements as these coming quarters evolve. The -- it’s worth mentioning on the Isuzu one that this is quite unusual in terms of compared to some of the others that we’ve done in that they are installing our hardware on the production line in -- and so they’re using our hardware to harvest the data that they require to manage their warranty and customer life cycle programs going forward. And so they’re paying us a subscription fee, and it also gives us a significant up-sell opportunity with the end user of that vehicle. So we’re pretty excited about it.
Matt Pfau: And last one for me. I know that a couple of months ago, there was some serious flooding in South Africa. I’m wondering if that had any impact on your operations at all?
Paul Dell: The short answer is yes, it did. And one example is that a customer had several hundred motor vehicles that we were fitting at the factory. In other words, the OEM that was supplying these vehicles. And the deal that we had with both the OEM and the customer is that we would prefit the units for the customer before the vehicles left the -- left the factory. So this is not assembly line fitment. This was kind of post-production fitment. Nearly 400 of those vehicles fit, that has already been installed with our devices ended up pretty much under water and that customer is still waiting for vehicles to be delivered to them. So those vehicles ended up being scrapped. And of course, that delays our revenue recognition. So we are waiting for those vehicles to be replaced, so we can install our hardware for the customer, and get the vehicles delivered, so we can start billing the customer subscription revenue that adds to our ARR, et cetera. So that is one example. It did have an impact. I think we’ve navigated through that process reasonably well. But we will see some ARR and subscription revenue recovery still to come in coming quarters from that.
Operator: The next question comes from Alex Sklar with Raymond James.
Alex Sklar: Joss, I want to ask about inflation and then back to having on the business, both from a demand side, but also if you’re looking to pass through any of your rising costs, whether that’s on the equipment or on the wage side?
Stefan Joselowitz: Sure. So let’s start with the -- our ability to pass it through. Bear in mind that most of our -- we’ve got long-term contracts with customers. And whilst we are midterm in a contract, there’s not much we can do on a pricing discussion. Obviously, when that contract comes to an end, we endeavor to renew on more favorable terms. So there will be an opportunity to at least have that discussion with the customer at the end of the contract. Of course, at that stage, the customer is looking for a reduction. So that does end up in a bit of an arm wrestling match. We do have some of our territories. South Africa is a good example where inflation has been an issue for many years. And typically, in those contracts, we have an annual inflationary increase built in other based on a consumer price index or some predetermined number into our contracts. So in some of our contracts in certain regions, we certainly get an annual escalation, which does, at least to a degree, compensate for input pressures. And to get to that, I guess, the first part of your question, there’s no doubt that we’ve seen over the last year to 18 months, increasing pressure from all of our suppliers, I guess, but component and software suppliers endeavoring to push those prices up. We had seen an element of what I would consider price gouging in recent quarters, and we’re taking proactive steps we have and we will continue to take proactive steps to deal with those and that we’re changing suppliers for certain services where we believe that the increases are unreasonable. But there’s no doubt that inflation is an issue in our business as it is for, I guess, most businesses. And we’re taking proactive steps to deal with it.
Alex Sklar: The other thing I want to ask about Joss, that we saw the sales and marketing expense line increase. I know there’s a lot of planned hiring there, but can you just talk about your overall hiring efforts and kind of what the goal is for the year in terms of the growth in that team sales team?
Stefan Joselowitz: So yes, we’re as I think we’ve indicated over the last year or so that we are back in a phase where we’re focused on growth. So we are making and continue to make strategic investments. And while at the same time, we’re taking a very close look at containing and managing our nonstrategic costs. So it is a bit of a balancing act, but we expect those investments to continue and particularly on the sales and marketing side. And it’s certainly in our plan that we would finish the year at a certainly a more elevated level than we had in the prior year.
Operator: The next question comes from Mike Walkley with Canaccord Genuity.
Mike Walkley: Congrats on another quarter with 20,000 plus subscribers. So I just want to get a little more view on the regions. It sounds like you called out South Africa as a stronger region for net adds. What are you seeing in the Europe region? I know you highlighted that one large customer you renewed with, but what kind of demand trends are you seeing in Europe and maybe other pockets of the world?
Stefan Joselowitz: So certainly in terms of performance of this quarter, I think the standout was our African business, followed by Brazil. So -- and bear in mind, both of those businesses performed extremely well in very tough environments. So very proud of our teams there. We -- in terms of the other geographies, more or less according to plan, maybe one of them marginally behind plan. And we have had a few headwinds from areas outside of our control or factors outside our control. Paul had mentioned we terminated services to one of our Russian-based customers due to sanctions issues, their bankers are in the sanctions list. They were unable to continue to make payments and we took a view that it wasn’t worth continuing service, but that did have a muting effect on a region and on our ARR growth for the quarter because it’s a high ARPU customer, and we use that clearly as one example. But we’re in an uncertain world. And as always, we have built a diversified business where we don’t always see all of our regions performing at the same pace simultaneously. Certainly, there are times when we see consolidated performance at an elevated level. And yes, we’re still quite confident that all of our regions will -- as the full year evolves, will perform shifting at plan and maybe a little bit better.
Mike Walkley: Just for my follow-up question. As you look at supply, it looks like it’s starting to finally ease in certain pockets in areas, especially on some trailing node technology, which should help the auto market, et cetera. As you’re looking or take your own ability to get supply, you’re seeing any signs of things improving. And then as you talk to your customers who are waiting on vehicles, any improved color maybe on those ramping, especially in the second half of this calendar year to kind of consistent with your guidance for a stronger second half?
Stefan Joselowitz: Yes. As you’re aware, we are shifting on elevated levels of contracted backlog in other words. And most of those -- that elevated level is premium fleet. So we do have a number of customers that -- that are waiting for their fleet expansion orders and the vehicles themselves to be delivered, and that’s holding back our ability to roll out these contracted subscribers. So we’re hoping that we’ll see some easing of that. And certainly, we’re planning that backlog, our current expectation will be back to normal levels over the next couple of quarters. So our current expectation is we will see an easing there. In terms of component supply, we’ve taken a view to build an elevated inventory level and that has such cash over recent quarters. And we feel we’re kind of reaching a cut as far as that’s concerned that we’ve got sufficient stock to navigate our plans for the year. Thus far, we’ve completely avoided any stock out. So we are pleased with that. And yes, obvious signs of easing not yet. I think there are a lot of suppliers that are still taking advantage of the situation, kind of trying to force their customers to place orders a year, 18 months in advance. My personal view is that’s a game we cannot continue to play. We have to reach a more normalized cycle. And hence, once we’ve reached the kind of levels that we think is good enough for us to manage our future plans. We’re going to ease back a little bit and with a big focus to returning to meaningful cash generation.
Mike Walkley: Last question for me, Joss. As you look at that premium tier backlog for vehicles, how sticky is that? Can these customers maybe back off if they start to worry about the macro, or you feel like they really want those vehicles and it’s a pretty strong backlog?
Stefan Joselowitz: Yes. I think that backlog is pretty secure. So these are customers that have placed orders for vehicles. I would imagine have put down big deposits for them, et cetera, et cetera. I don’t think the -- and the nature of the customers are such that they are in really in a high growth in high-grade basis. So we’re feeling confident about that uninstalled backlog. I think it will happen, and I think it will happen in coming quarters in this fiscal year.
Operator: As there are no more questions from the phone line. This concludes the question-and-answer session. I would like to turn the conference back over to Joss for any closing remarks.
Stefan Joselowitz: Thank you, operator, and thanks so much for everybody’s time today. We continue to appreciate your interest in MiX Telematics. We’ve gotten off to a solid start in fiscal 2023 and are focused on executing on our strategy to deliver on our financial and operational targets for the year. As said, we are no longer able to attend next month’s Canaccord Growth Conference as I’ve been called out for Federal Jury Duty over this time. But we do look forward to speaking with many of you in the coming weeks, and thanks again for joining us, and have a great day.
Operator: This does conclude today’s conference call. You may disconnect your line. Thank you for participating, and have a pleasant day.